Operator: Please standby we’re about to begin. Good day, everyone and welcome to the PGT, Inc. First Quarter 2009 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Jackson, please go ahead, sir.
Jeffrey Jackson: Good morning and thank you for joining us for PGT's First Quarter 2009 Conference Call. I’m Jeff Jackson, CFO, and I’m joined today by Rod Hershberger, President and CEO. We will represent PGT on this morning's call. Before we begin, let me remind everyone that today's conference call may contain statements concerning the company's future prospects, business strategies, and industry trends. Such statements are considered to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to yesterday's press release and our most recently filed Form 10-K with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtinc.com. Included in the press release are the unaudited consolidated balance sheet and statements of operation prepared in accordance with GAAP and pro forma information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our Form 8-K filed yesterday with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe the presentation of non-GAAP measurement provides additional information to investors to facilitate the comparison of past and present performance. For today's call, Rod will provide an overview of our performance for the first quarter. Then I will discuss our results in more detail. After our prepared remarks, we'll take your questions. With that, let me turn the call over to Rod Hershberger. Rod?
Rodney Hershberger: Thanks, Jeff. Good morning everyone. As I mentioned in our press release, the downward pressure on the home building industry continued during the first quarter as new home construction remains at historically low levels. Housing starts in our core market were down 50% in the first quarter compared to last year's first quarter. In the phase of this market, our sales decreased 24%. Low home prices and interest rates plus the tax incentives for first time home buyers provided some beneficial economic effects during the quarter, but continuing increases in unemployment and home foreclosures have eroded consumer confidence. Compared to the first quarter of 2008, sales into the repair and remodeling market were down 14% while sales into the new construction market were down 45%. As a percentage of total sales for the first quarter of 2009, R&R sales accounted 69% and new construction sales accounted for 31% of sales, compared to the first quarter of 2008 when R&R sales accounted for 59% of sales and new construction represented 41%. As talked about in previous calls, our plan for managing through long housing downturn includes driving sales particularly in out-of-state markets and growing our dominant share in our core market Florida. We began taking orders on our new R&R targeted non-impact vinyl window line in March. Reception to the product line has exceeded our expectation and we expect our new product line to provide geographic sales growth as we continue to focus on increasing our distribution network in targeted states outside Florida. In the first quarter of 2009, out-of-state sales including the Florida Panhandle were up nearly 40% compared to last year. Together with our joint venture partner ASI Ltd., we signed another unitized curtain wall project estimated to generate $3.2 million in sales in total revenue over 2009 and 2010 and with the JV, we continue to bid on numerous opportunities both inside and outside of Florida. We think that housing market conditions in the economy will remain difficult during the rest of 2009, while the new federal stimulus package contains measures to increase home ownership and additional measures to drive the purchase of energy efficient windows and doors, it remains too early to predict the economic impact on 2009. On a positive note, the economy began to show signs of stabilization recently as housing starts increased in April and there have been signs of rising builder confidence. Also the decline in home values flowed in stock prices since March, because the downturn has been so long and severe, any recovery will take time. The stabilization is the first step to a recovery. We recently took further restructuring actions to better align costs with recent sales levels that we estimate will save $10 million annually. We are optimistic about our long-term growth as we continue to grow sales out of Florida and to gain market share in Florida, but in the near-term, we remain focused on controlling cost and conserving cash. Comparing the first quarter of 2009 to the fourth quarter of 2008, gross margin decreased $4.6 million from the fourth quarter of 2008 due mainly to lower unit volumes in our aluminum WinGuard product line, which was down 16% as well as our non-impact aluminum product line, which was down 15%. SG&A costs decreased $1.2 million from the fourth quarter of 2008. Excluding restructuring costs in the first quarter of 2009, SG&A decreased $2.4 million driven by decreases in personnel and selling and advertising costs. Adjusted EBITDA decreased to $2 million in the first quarter of 2009 from $3 million in the fourth quarter of 2008. The decrease was driven by lower sales, but partially offset by the benefit of cost savings initiatives. Primarily driven by restructuring cost of $3 million, but also by a loss of operating leverage due to lower sales. We had a net loss of $6.7 million for the first quarter. Adjusting for the restructuring costs, our net loss was $3.7 million for the first quarter of 2009 compared to an adjusted net loss of $2.3 million for the fourth quarter of 2008. Adjusted net loss per diluted share was $0.11 for the first quarter of this year compared to an adjusted net loss of $0.06 for the fourth quarter of 2008. With that I will turn the call over to Jeff, who will review the results for the quarter in greater detail.
Jeffrey Jackson: Thanks Rod. Let me give you more detail regarding our first quarter. We reported net sales of $41.5 million for the first quarter, a decrease of 24.3% versus prior year quarter. As Rod mentioned, new housing starts in our core market were down 50%. With Florida singlefamily home starts coming in at 4654 starts for the quarter, this was the lowest number of singlefamily home starts we have ever seen. The first quarter decrease was mainly driven by new construction sales down 45% versus prior year first quarter. Our WinGuard product sales lead our sales representing approximately 67% of sales for the first quarter. Breaking down our sales drivers for the first quarter compared to 2008 first quarter, we have WinGuard impact sales of $27.8 million versus $38.8 million, down 28%. Aluminum non-impact product sales $6.2 million versus $9.4 million, down 34%. Architectural systems sales were flat at $3.3 million for both periods. Vinyl non-impact and other product sales were $4.2 million versus $3.3 million, up 27%. The increase in vinyl sales is due to our continued focus on increasing our distribution network and targeted states outside Florida, which contributed approximately $1 million to the increase in vinyl sales and which has helped us reduce our concentration of sales in Florida to 86% of the total in the first quarter versus 90% last year. When compared to our sequential quarter, our sales decreased 16% from $49.3 million to $41.5 million. This is in the phase of sequential housing start decrease of 24%. Our new construction sales decreased 26% while sales into the R&R market decreased 11% when compared to our fourth quarter 2008. Singlefamily housing starts showed no signs of improvement in the first quarter averaging just 1550 per month compared to 1750 in the fourth quarter of 2008. A new recovery in the housing industry is difficult to predict, but we think the challenges we currently face will continue through our 2009 fiscal year. Our gross margin in the first quarter was 23.8% versus 29.3% in the first quarter of 2008, down 550 basis points. Our decrease in gross margin percentage compared to prior year quarter was driven by the impact of our decrease in sales, which reduced our margin by 820 basis points. A change in mix in price, pricing pressures, which reduced our margins by another 360 basis points partially, offset by our spending reductions from our cost saving initiatives, which helped to improve margins by 630 basis points compared to prior year. On the material side, our average cost of aluminum was approximately 2382 per metric ton during the first quarter and substantially all of our needs were hedged. This compares to the first quarter of 2008 average of 2629 per metric ton. Cash price of aluminum at times during mid 2008 were 3300 per metric ton. Since the end of the third quarter of 2008, the cash price for aluminum has fallen dramatically. April 2009 average cash price for aluminum was just 1421 per metric ton. As of today, we are hedged approximately 73% of our estimated needs for the rest of 2009 at an average of 2200 per metric ton, and 46% of our estimated needs in 2010 at an average of 2064 per metric tons. Our selling, general and administrative expenses were $15 million down $1.3 million compared to prior year’s first quarter. Excluding restricting cost of $1.6 million in the first quarter of 2009, and 680,000 in the first quarter of 2008, selling, general and administrative expenses decreased $2.2 million driven by lower personnel related cost of $1.9 million, lower distribution cost of 300,000, and overall lower spending in various other categories of approximately 400,000. Offsetting these lower costs in the quarter was an increase of 400,000 in our bad debt reserves as we have added to our allowance for bad debt. This increase related to two specific customers, which we are currently working on collecting these accounts, but wanted to take a more conservative view in our reserves. Excluding the previously discussed restructuring cost, SG&A as a percentage of sales was 32.2% in the first quarter of 2009, compared to 28.4% in prior year’s first quarter, up 380 basis points. The cost savings from restructuring initiatives we've undertaken were more than offset by loss of leverage from lower sales and an increase in our bad debt reserve. Interest expense for the first quarter was $1.6 million compared to $2.7 million in the first quarter of 2008. The difference is primarily related to lower debt compared to our prior year, as we were able to prepay $40 million of our long-term debt via proceeds we received from our rights offering and cash from operations. And a decrease in our interest rate of our debt, from an average rate of 8.4% in the first quarter of 2008 to 6.3% in 2009. The interest rate on our bank debt is based on our new credit agreement and its tiered interest rate structure. For the first quarter, our effective tax rate was zero compared to an effective tax benefit of 36.6% in the first quarter of 2008. In the fourth quarter of 2008, we provided a valuation allowance on all our deferred tax assets because their realization in this difficult economy cannot be assured. Deferred tax assets created as a result of generating additional net operating loss carry forward in the first quarter are equally offset by an increase in the evaluation allowance. Excluding the change in valuation allowance, the effective tax rate in the first quarter of 2009 would have been a tax benefit of 38%. Going forward, we anticipate our tax rate to range in 38% to 39%, absent any further adjustments in the valuation allowance. As we become more profitable, we will be in a good position to realize our deferred tax assets by offsetting it to get future income. Our net loss for the first quarter was $6.7 million versus the net loss of $1.8 million in the first quarter of prior year resulting in a net loss of $0.19 per diluted share compared to a net loss of $0.06 per diluted share for the same period last year. Adjusting the first quarters in both 2009 and 2008 for the restructuring cost in each period, our adjusted net loss for the first quarter of 2009 was 3.7 million or a loss of $0.11 per share compared to last year’s adjusted net loss of 780,000 or $0.02 per diluted share. Also note that this year’s first quarter adjusted net loss did not include any benefit from tax effects. Adjusting the restructuring cost, EBITDA was $2 million or 4.8% of sales for the first quarter versus $5.8 million or 10.7% of sales for the first quarter of 2008. As additional information, first quarter 2009 depreciation and amortization totaled $4.1 million. A reconciliation of the adjusted net loss and adjusted EBITDA is included in our earnings release for your reference. Turning to the balance sheet, at quarter-end our networking capital excluding cash decreased 576,000 compared to the end of 2008. This decrease in networking capital was driven by decrease of 250,000 in accounts receivable and then net decrease of 325,000 in other current assets. In reviewing free cash flow for the quarter, we had an adjusted EBITDA of $2 million, we had first quarter 2009 capital additions of 700,000. Cash paid for interest of $1.4 million. And an insurance recovery and a partial tax refund which provided additional cash in the quarter of about 800,000. This resulted in operating net cash of approximately 700,000 in the first quarter. We used an additional $1.2 million in cash for margin calls on our aluminum hedges and $2.8 million in cash related to our first quarter restructuring action, resulting in our cash on hand at quarter end of $16.3 million compared to $19.6 million at the end of 2008. Our net debt at the end of the quarter for 2008 was approximately $79 million. As Rod mentioned earlier, we took restructuring actions during this first quarter, which included, reductions in our workforces and changes in our healthcare benefit plans. These actions resulted in a 17% reduction in our workforce, which we estimate will result in labor savings of approximately $9 million annualized and generate annual savings of $1 million healthcare cost. We have implemented a temporary 16% pay reduction for all our salary employees that went into effect at the beginning of our 2009 second quarter. We do not take lightly impacting our employees, with these events. We realize the difficult times we are currently in the economy. And these actions were necessary for the long-term health of the company. We continue to believe in the long-term outlook for housing and our ability to expand both geographically, and into new markets. Our operating strategies and long-term vision for PGT remain the same. We will continue to be the dominant impact window and door company in Florida, the large market in nation and aggressively expand into outside the states. With that let me turn the call back over to Rod. Rod?
Rodney Hershberger: Thanks, Jeff. As Jeff said, we are still in difficult market conditions that negatively affect our business in the overall economy, but as I mentioned earlier, we’ll see signs of economic stabilization as the government’s efforts, own housing and revive lending are beginning to take hold. But it will take additional time just for growth as the economy continues to shed jobs. As I previously outlined, we instituted several measures to stimulate sales as well as to reduce operating cost to counteract the current market condition and we will continue to monitor these additions closely. The federal stimulus package is putting much needed dollars into the credit markets, and has provided energy programs and tax rebates that may prove beneficial in 2009, but the continued uncertainty and negative effects on consumer confidence due to the continued rise in unemployment being the home construction industry is still facing a long recovery period. Long-term, we believe the U.S. impact resistant market we will continue to grow and we will expand our presence in this market. Our new products in our vinyl and architectural system streams have been received well and we continue to add new distribution. We are actively seeking new markets in other geographic areas as well as developing new aluminum products in our flagship WinGuard product line. And we will continue to opportunistically review acquisition candidates as they arise. During this market downturn, we have been able to leverage our value proposition, we’ve improved our customer service, and maintained our internal structure to quickly take advantage of opportunities when market conditions improve. I thank all our employes for believing in us, committing to our strategy and outperforming our expectations. With that, I will conclude; and Jeff and I will be happy to answer your questions. Dana [ph] if you would take the first question, please.
Operator: Thank you sir, today’s question and answer session will be conducted electronically [Operator Instruction]. And we will take our first question today from, Sam Darkatsh with Raymond James
Sam Darkatsh – Raymond James: Good morning Rod, good morning Jeff.
Jeffrey Jackson: Hi, good morning Sam
Rodney Hershberger: Good morning 
Sam Darkatsh – Raymond James: A couple of quickies here, Rod you mentioned in your last remarks that you started to see some economic stabilization or you expect some, was that indicative and with respect to sales trends on a year-on-year basis as the quarter progressed did March and perhaps April look better than January and February excluding the normal seasonal effect? 
Rodney Hershberger: Yeah, and we’ve talked many times about the seasonal effect and we always, and it seems like we obviously have relatively slow January as things comeback from the holiday. The second quarter traditionally, I mean, if you go back over our, almost 30-year history, it tends to be stronger than the first quarter. We’re seeing those same trends again this year, so that’s really not different than we’ve seen in almost every other year, since we’ve been in business. It’s hard to quantify, things be a little bit better out there, but I don’t know that we can quantify that, lot of that’s due to second quarter traditionally is a little stronger than the first quarter.
Sam Darkatsh – Raymond James: But on a year-on-year basis, that would account for the seasonality. So were you seeing better year-on-year trends March versus January and February?
Rodney Hershberger: See I don’t know if I could say I see better trends in March versus January and February, what I can say is that, the sound is ringing a little bit more, the BPS are a little more robust but it hasn’t necessarily translated into sales. 
Sam Darkatsh – Raymond James: Okay. Second question, your R&R was down 14% and I’m guessing in Florida it was down little more than that. It looks like existing home sales in Florida have, have improved at least in terms of units, how are you gauging market share? I mean, it looks like existing home sales are now even up on a year-on-year basis. How are you determining your performance in the marketplace?
Rodney Hershberger: It’s an inexact science at this point Sam. We look at -- new construction is pretty easy, we talked about that many times, you can get starts and average number of openings perhaps and tell that pretty well. The remodeling market, we look at a lot of different types of data. Some of it’s big box data, how much product they are selling, how much, how that compares to previous years and then we hire a third-party to go out and take a look at, they pull permits. they look at what’s being put in. We see a little bit of additional R&R, it’s always little stronger and the impact market tends to get a little bit stronger as we get to close to the hurricane season, because it’s driven by insurance in quotes, but that market because of the housing prices and the value of housing has been impacted to a considerable amount also. So a little bit of what we are seeing is going into the field, talking to our customers, looking at the number of products going in and then we haven’t gotten all of our third-party data back yet to say that this is our exact market share at this point. 
Sam Darkatsh – Raymond James : Two more just clarification questions for Jeff. What was the approximate drag on the P&L from North Carolina facility in the first quarter and then how do you expect that drag to look over the next couple quarters?
Jeffrey Jackson: We’ve looked at the North Carolina and to try to look at it on a standalone is difficult obviously because you’ve got the corporate allocation that we do from here. Considering the allocations that we normally do, we’ve estimated North Carolina is probably on a EBITDA basis, it’s at a loss of about 4.5 to $5 million, but again that’s the allocation from corporate to it. As we move forward, the growth we’ve seen has been in vinyl, I think Rod mentioned that in his comments earlier. We are establishing new distribution networks outside the state. We do anticipate that trend to continue and we have seen that trend elevate here as we enter into the second quarter. So I’m feeling better about North Carolina. I don’t think we’ve seen that, the potential that plant has yet just because we haven’t put the volume in there yet, but I do feel better than ever that that’s coming, not trying to be too optimistic in the health market that we are in but we are, we’ve got such a low base there that literally it’s double the dollar amount as a huge percentage gain, but we are starting to definitely open up some channels there. So looking forward, I expect North Carolina to ultimately be a break-even in that $40, $45 million sales range coming out of that plan based on its current call structure. But again as we ramp up, we will add cost, we will try to leverage appropriately and look forward to the future of that. 
Rodney Hershberger: Sam, just an additional point, that joint venture contract that we signed, that’s coming out of our North Caroline plan also. 
Sam Darkatsh – Raymond James: And last question, you mentioned I believe in your prepared remarks, that the savings in the first quarter from restructuring was offset by your under absorption rates from lower volumes. Do you have a sense of the quantification of the restructuring savings and how did that play out versus your original expectations?
Rodney Hershberger: Yes, I mean if you look at 2008, when we took the major, financial major restructuring, I think, we’ve been able to realize almost $23 million of savings during 2008 alone. If you consider from ‘07 to ’08, our volume decreased almost $16 million in top line sales. And we’re about a 50% contribution margin. So that would say we should be down in EBITDA by 50% of that, or close to $30 million. We ended up being around $24.5 million versus $31.6 million in 2007. So we definitely didn’t see the impact of that decrease in sales because of our cost reductions. If you net out what we should have been, in 2008 our EBITDA should have been closer to $2 million without those cost reductions we came in at 24.5. So I feel comfortable, we got a good $22 million, $23 million worth of savings in 2008. As we go into the first quarter here, if you roll that forward from our fourth quarter, our EBITDA really given our sales fall in the fourth quarter -- our sales was $49 million and in the first quarter $41.5. So that would imply about with a 50% contribution about a $3.5 million EBITDA cut from the fourth quarter. Well, fourth quarter’s EBITDA was $3 million. So without the cost reductions again this past time, we should have been closer to about a $500,000 loss on EBITDA. We came in at $2 million profit. So, we have definitely seen the benefit of those January reductions. But I’ll remind everyone, we actually had two restructuring. One in January and another follow-on in March. So we’ve seen the benefit of the January restructuring as well as partial benefit of that March restructuring in the $2 million we’ve reported in the first quarter.
Jeffrey Jackson: Yeah the healthcare side of things that we talked about didn't take effect until Q2. So, that benefit will be seeng going forward, but it wasn't there for Q1.
Sam Darkatsh – Raymond James: Those $2.5 million in sequential savings, that – that it also adjust for any receivable or write-downs or any other one-off items. That 2.5 million is a clean sequential savings rate from restructuring, is that’s what you are saying Jeff?
Jeffrey Jackson: Yes, that's what I'm saying.
Sam Darkatsh – Raymond James: Okay, thank you much.
Rodney Hershberger: Thanks.Sam.
Operator: And we'll take our next question from Keith Hughes with Sun Trust.
Keith Hughes – SunTrust Robinson Humphrey: Thank you. You had talked in the prepared comments about 630 basis points, improvement in cost actions. Does that include the benefit from aluminium, being a positive year-over-year?
Jeffrey Jackson: No Keith. The cost actions were related just to the labor savings and other actions we got from our suppliers in terms of price cuts. We do renegotiate contracts. We do include that in cost of savings initiatives, but the sheer price of drops in aluminium we do not account that in terms of our annual savings.
Keith Hughes – SunTrust Robinson Humphrey: Can you give us any idea how much that was year-over-year?
Jeffrey Jackson: Yeah, it was - in dollars, it was a little over $300,000 in the quarter one last year. Quarter one this year $320,000.
Keith Hughes – SunTrust Robinson Humphrey: And given how you fix the price that's basically what we are going to see every quarter for the rest of year, is that correct?
Jeffrey Jackson: Pretty much. It depends on volume. Obviously, the more volume you get, the more cash bars you're going to be having, fortunately or unfortunately the cash bar being at 1400, 1500 level. More cash bars will bring that average price down. So it could be more beneficial but it shouldn’t be any more detrimental.
Keith Hughes – SunTrust Robinson Humphrey: What was the gross margin for WinGuard in the quarter ?
Jeff Jackson: It was 36%.
Keith Hughes – SunTrust Robinson Humphrey: 36%. And, you've talked a minute ago about the North Carolina facility, you have a nice uptick in the vinyl nonimpact in the quarter, would those sales be coming out of North Carolina?
Jeff Jackson: Yeah, coming. The actual product shipped out in North Carolina. This sales could actually, most and more out of ,state but also they’re in the Northern part of Florida as well.
Keith Hughes – SunTrust Robinson Humphrey: That’s my question, being shipped out of North Carolina. So when I see increases in vinyl nonimpact that will be coming out that plant is that correct?
Jeffrey Jackson: That is correct.
Keith Hughes – SunTrust Robinson Humphrey: And final question, you talked in without North Carolina, being break-even at $45 million of sales. What kind of sales level, what kind of run rate you had right now you think?
Jeffrey Jackson: Probably close to $30 million, $35 million.
Keith Hughes – SunTrust Robinson Humphrey: Okay. That's all for me, thank you.
Jeffrey Jackson: All right thanks.
Operator: And we'll take our next question from Nishu Sood of Deutsche Bank.
Rob Hansen – Deutsche Bank: Hi, it’s actually Rob on for Nishu. On the 14% of sales outside of Florida, I just wanted to get an idea of what percent was inside the states versus in the Caribbean and et cetera?
Rodney Hershberger: Well, our international sales, which we call Caribbean was approximately $2.7 million in the quarter. Inside the State of Florida it was $35.6 million. So that can give you a kind of a dollars and then outside the state of course $3.2 million to get to our total $41.5 million of sales.
Rob Hansen – Deutsche Bank: Okay, and on – I think you mentioned the CapEx was around 700,000 this quarter? Is that a good run rate for the rest of the year? I think you have mentioned $4 to $4.5 million previously. So it looks like coming on a lot under, below that?
Rodney Hershberger: Yeah, we have, it will probably a little higher than that as we move forward in terms of our run rate. It's going to be in that 4.5 million for the year. Still, that's what we were estimating.
Rob Hansen – Deutsche Bank: Okay. All right that all, thanks.
Rodney Hershberger: All right thanks.
Operator: Thank you and we'll take our next question from Michael Rehaut with JP Morgan
Ray Huang – JP Morgan : Hey guys and it’s actually Ray Huang in for Mike. Just wanted if you guys could drill down to the sales a little bit more. I mean, they are down 24% this quarter versus starts 50% and then last quarter they were only down 9% versus starts 738. So wondering if you can you give any just some color on what impacted sales or the drivers and just anecdotally what are you seeing in terms of the competitive landscape in your markets?
Rodney Hershberger: I think when you look at the two quarters in comparison, we’ve been pretty candid by saying we generally -- our margin starts spiking at 20% to 30% and some of that’s driven by the repair and remodeling market and how strong that market is. I think in both those quarters we could use that same standard and it varies from a high to a low. So, that's pretty consistent with how we performed on looking at housing starts. I think I would anticipate that going forward, we believe strongly that we still are able to take additional market shares as market comes back. We think that will help us out. I think the wild card there again and we talk the same a little bit about it is that, are in our market and how strong they are in our market is going to be going forward, particularly this time of the year. Again it seems like it looks like according to the data that we get that housing prices may not have bottomed, but the decline is definitely not near the steep now as what it was in the past and we'll see what the money on the sidelines does, as they look at those houses and attractive buys that are in place for now.
Jeffrey Jackson: I think another thing impacting sales this quarter, more sales than it did last year's quarter with discounts. We had to win larger projects. We went to having to give a higher discount in some cases to get those projects. Our products into the market. We had rather, obviously at this point have some volume and into our plans to help with the overhead absorption. We do monitor those obviously; we are not going to take anything that loses money. But, we will use price if we have to win a larger project. Especially due to competition. What we found is a lot of the local guys try to come in and bid projects low because they are hurting and really they can’t stand and lose the volume much less the project itself. So, we've taken that opportunity to go in ourselves and underbid to get the project in anticipation of driving them out of business.
Ray Huang – JP Morgan: Can you give a sense of what typical discount you guys are offering on those projects now?
Jeffrey Jackson: Let me just add a little bit more to that, because I don’t know that we can give you a typical discount. We have not had to go in and lower our discounts across the board in any of our customers. Our standard discounts are still in place. But we will bid projects on a one-off basis, based on what we need to get the project. So, it's hard to give you just a setting answer that, we are going to go in and bid a project at 10% less or 5% less even a bigger number than that. We’ll look at the project and we will do a cost-up basis and see what it cost us to do the project and make sure that we can pull it off and make profits on that project. So it depends on the type of product going in. The size of the product, the ability to manufacture it and I would say if you looked at it across the board, it would drive a couple points off of the total discount.
Rodney Hershberger: And also, also just keep in mind so we as we signed new distribution channels outside the state, we’ll have to fill those channels initially with potentially samples. That also comes into play on top line and impacts our top line because we do the samples via a discounted product, is basically what it is. So as we sign more and more distribution, that will impact top line as well. But if you really look, Sam had asked earlier in terms of the trend, versus last year and how we saw it progressed during the quarter, I would say nothing unusual it did increase over the months as we anticipated. As we enter into the second quarter, again second quarter being our stronger quarter. Our average weekly sales has increased. It went from I would say in average you can do the math on Q1, our average sales was about $3.2 million. During the beginning of the second quarter that average is close to $3.6 million, $3.7 million. So we have started to see the second quarter buck coming in and we see that is being driven by that out-of-state initiative as well as Florida. So, some top line things just think about going forward would be the discounts we are giving at times, as well as the samples as we started span outside the state in the different markets and the conditional trend we’re seeing historically, we are seeing some.
Ray Huang – JP Morgan: Okay appreciate that. Just have a quick follow-up I guess some other building products companies have started to raise capital through the debt markets, something that you guys have been looking at or is that something that you would consider?
Rodney Hershberger: You know at this point we went back to the equity market last year and did the rights offering and raised $30 million of capital. Our cash has remained fairly strong. I know it’s down from year-end, but it’s down literally because of the restructuring pay-out we made $2.8 million as well as some margin cost we’ve had of $1.2 million. If you take that into account, from an operational basis, we are not using cash or minimal if it all, during the worse quarter we’ve had, in terms of sales and performance has been this first quarter and we basically, broke even in cash. So right now and we are feeling pretty good with $16 million on our balance sheet, we think that will grow. Obviously, if we think this is our worst quarter, we think from here on seasonality we’d say second quarter would be better. We think we can potentially add the cash, obviously keeping in mind our capital expenditures we are going to do and working capital needs. But we think we are okay for now in terms of going back out, they wouldn’t be something we pursue at this point.
Ray Huang – JP Morgan: Okay great. Thanks guys 
Rodney Hershberger: Thanks.
Operator: And we will take our next question from Robert Kelly with Sidoti.
Robert Kelly – Sidoti & Company: Hi, good morning guys, thanks for taking my question. You had alluded to a kind of a break-even sales run rate in the past, if we now count the new round of restructuring, what do you think your new breakeven level is?
Jeffrey Jackson: Well in terms of EBITDA, we got a figure, we got a cover basically interest and taxes. I mean, sorry interest and depreciation. So, depreciation and amortization was $4.1 million and interest was $1.4 million, $1.5 million. So, that would mean, we need an EBITDA of about $5.6 million to $6 million to break-even. The sales to generate that we’d have to back into that based of mix, product mix and customer mix but it would probably be in that’s $46 million range.
Robert Kelly – Sidoti & Co: Okay 
Rodney Hershberger: $46 million range. Again it depends on discount and there is so many factors that affect it, but, I would be comfortable with about $46 million sales would get us to a break even.
Robert Kelly – Sidoti & Co: Okay, thanks Rod, and then, on your debt to EBITDA covenant that you need to maintain, is that a net debt to adjusted EBITDA or total debts?
Rodney Hershberger: Well it’s actually, it’s actually total gross debt and so, we do have cash on hand we could use to pay down debt if we had too, but we look at it and, every quarter when we start to close the books we look at our gross debt not taking into account our cash. And compared our trailing 12 months of EBITDA and assessing whether or not, we need to pay down cash or we think we are fine.
Robert Kelly – Sidoti & Co: So, at this point I mean you’ve to go pay debt or are you fine?
Rodney Hershberger: Yeah, I mean we closed out the first quarter and, we are comfortable, obviously we didn’t make a debt payment during the first quarter.
Robert Kelly – Sidoti & Co: Okay, fantastic and then just a maybe a point of clarification, you talked about the margin cost, draining of cash in 1Q, does that get worse or does that ease as we go to the back part of the year, with the cash costing so much lower than where you hedged, I’m just not totally clear on that.
Rodney Hershberger: I m sorry Robert, would you repeat
Robert Kelly – Sidoti & Co: You had the margin cost for the aluminium draining cash during the quarter you said 1.2 million?
Rodney Hershberger: Yes that will actually fluctuate and the cash or spot buy for aluminum changes we recovered at a certain percentage for ‘09 and 2010. So, those forward contracts and assets we valued everyday based of the current spot price. So for instance, just yesterday we got wired $200,000 because aluminum actually went up. So they sent us back $200,000 and actually today, I think I sold wire for 150,000 and it moves up again today. So, since the quarter end I know we’ve actually received over $300,000 back. But that’s the back and forth, that’s not to say if aluminum goes down tomorrow we may be worrying that 200,000 back to them.
Robert Kelly – Sidoti & Co: So, rising prices benefit you hedege?
Rodney Hershberger: Yes, 
Robert Kelly – Sidoti & Co: Okay, 
Rodney Hershberger:
Jeffrey Jackson: Rising prices benefit the cash portion of the hedge, but it hurts the cash portion of the part.
Robert Kelly – Sidoti & Co: Right. Okay 
Rodney Hershberger: And right now with our volume, rising prices benefit us, that kind of sales while, we are hedged at 96% I think it was in the first quarter. So, it actually benefits us 
Robert Kelly – Sidoti & Co: Okay I just wasn’t totally clear on that. Thanks guys.
Rodney Hershberger: You’re welcome.
Operator: And we will take our next question from Jim Wilson with JMP Securities
James Wilson – JMP Securities: Hi, great Good morning guys
Rodney Hershberger: Good morning Jim.
James Wilson – JMP Securities: Well I guess first question, I was wondering the margins for WinGuard, and then and how that compared to the other business of the business line? 
Rodney Hershberger: You know, Gross margin for WinGuard was 36% and all other was at 9%
James Wilson – JMP Securities: Okay, so, the commodities holding in WinGuard have seen a little bit of pressure but I guess not too bad.
Rodney Hershberger: Yes little bit of pressure but, again nothing unexpected in this market run.
James Wilson – JMP Securities: Right, Okay and than I just wondering a how much with the 16% pay reduction -- how much is labor kind of a total operating cost?
Rodney Hershberger: If you look at our total expenses, labor is probably close to the 36% of our total expenses here.
James Wilson – JMP Securities: Okay 
Rodney Hershberger: Materially being the next high at a 35%, 36% as well, but labor is our highest cost. 
James Wilson – JMP Securities: Okay. So that can have a pretty meaningful impact near-term on some cost savings
Rodney Hershberger: Yes, 
James Wilson – JMP Securities: Okay, great those were my questions. So, thanks a lot, good job.
Rodney Hershberger: Thanks Jim,
Operator: (Operator Instruction) We will go next to Jonathan Sacks with Stonehill Capital.
Jonathan Sacks – Stonehill Capital: Hi, thanks very much. Can you just reiterate again the timing of the cost cuts that you made in the first quarter and what portion of the benefit of that was actually realized in the first quarter?
Jeffrey Jackson: Yeah the first cost reductions we’ve made was the first week of January. We had approximately $6 million in annualized savings from the first restructuring. We’ve realized pretty much all of that benefit. So, if you put that on a quarterly basis, it’s about a $1.5 million, we definitely saw in the first quarter, again we took it in the first week from the new year. The next restructuring was in the first week of March. And we recognized again another probably $4 million of people related savings related to that so, $1 million being health that Rod mentioned earlier so, probably recognized a portion I would say $3 million, but only one much worked at that quarter so, again I’d say probably $2 million in total cost savings for the new one. 
Rodney Hershberger: Yeah in any kind you do that especially towards the end of the quarter you get the disruptive effect that takes place for a week or two. So, even though we see a month’ worth of benefit, we don’t really realize the entire month’s worth of benefit that first month.
Jeffrey Jackson: Yes it’s right 
Jonathan Sacks – Stonehill Capital: Yeah that’s very helpful thank you. And then on covenants, can you just remind me what is your leverage covenant and does that decline and where are you on that now?
Jeffrey Jackson: Yeah I mean our covenant, we’ve got several, the leverage one it’s actually five times our debt, which our debts is currently at $19 million
Rodney Hershberger: $ 19 million, gross about 79 I think that.
Jeffrey Jackson: 79, so our debt, it’s five times our debt. That’s the one we monitor, it’s 12-month trailing EBITDA.
Jonathan Sacks – Stonehill Capital: That 5 times requirement, does that tighten later in the year, or is that steady?
Jeffrey Jackson: No that’s actually being locked in and we were now, and did our rights offering last year, we at the same time re-negotiated our bank facility and we locked in that five times requirement through the end of the first quarter of 2010. So, basically another year is locked in.
Jonathan Sacks – Stonehill Capital: You know what the next step down is from that? 
Jeffrey Jackson: Yeah I think it stepped down a quarter point, 4.75 if I recall. I’d have go look, in that’s actually filed, in terms of it being out available, I don’t have it with me, but I’m pretty sure. 
Jonathan Sacks – Stonehill Capital: Okay thank you. And then it just on the top of the CapEx, this year is going to be about $4.5 million I know in your prior when all business was running at a much higher rate the CapEx was much higher, can you give us a sense for what you think is sort of a sustainable long-term CapEx and at the current level are you sort of understanding what you need to be on a long-term basis
Jeffrey Jackson: There is the maintenance side of the CapEx, it’s gone down a little bit, but it’s going to be in the $2 million to $3 million range. So, that’s going to be necessary to make sure that we are just maintaining what we are doing. As we look at any other CapEx spending we have changed our philosophy slightly. In the past, we’ve been well known for rolling out new products and new product lines. New product launch is anywhere from nine months to two years depending on how significant that product line and how complicated that product line is. We really haven’t rolled out other than the R&R product that we’ve started on over a year ago and has really been well received. We haven’t rolled out new product lines as much as we’re looking at opportunistic product changes driven more by large projects where we may have to spend a $100,000 maybe a few $100,000 to tweak or change a product and in turn it brings in a million dollar job or we get to do a a couple of different jobs, that will pay for that project pretty quickly. So I don’t think we’ve been quite as aggressive on the product line side of things and that’s what brought some of our capital spending down, but we‘ve been equally or more aggressive positive on the product change side of things to make sure that we are producing the right product for the market. 
Rodney Hershberger: 
 :
Jonathan Sacks – Stonehill Capital: Okay. Do you think CapEx spend of $4 million to $5 million absent any surprises is a sustainable level for the next two years if it needed to be?
Jeffrey Jackson: Obviously if it needed to be, yes, but I think with a growing company, when this market turns around and like I said as we go into new distribution territories outside this state, we'll have to come up and service those areas with new products. We'll be having some CapEx, I would see as closure and closure to the, on a normal year, $8 million to $10 million of CapEx, which is what we said prior to all the downturn, this is what we try to run the company at an 8 to 10 level. Obviously, historically we had $20 million before when we bought that plant in North Carolina. The year we did the IPO, I think we were at $16 million, we brought it down..
Rodney Hershberger:
 :
Jonathan Sacks – Stonehill Capital: Good answer. Thank you very much. And one last question, which is a very basic question. What actually motivates an R&R window sale, is that, house is damaged and someone's replacing that, someone is upgrading, is that a builder who buys a house to renovate it and put there. Is it someone who is just upgrading their own homes, just a little inside would be helpful? Wuld you could be, Jim
Rodney Hershberger: I think you just know most of them. When you look at the WinGuard product line, our impact product line, whether it’s Vinyl or Aluminum, it's driven a lot by code and insurance. So, if got to have a product that protects the homeowner, people understand it particularly in hurricane-prone areas, there is a lot of knowledge and a lot of education has gone on. So, that's driven a lot by eduction code and insurance. There has been some new American, the ARRA and I can’t tell you what that acronym stands for accurately right now. But, there is a tax rebate for putting more energy efficient and there are some really stringent levels that you have to meet for the energy efficiency, which you can get a tax rebate. If you change your product, and that’s in effect for 2009, 2010 and our new or in our product line, a bunch of those products to meet that. So, we're seeing some sales driven by tax rebate and then there is a comfort level throughout the windows, all windows crossed on the windows, various things security, safety and people will change up for that product and then you kind of nailed that last one also. There are some houses being sold, prices have come down quite a bit, traditionally you will see a lot of, especially in the, again Hurricane or Terrebonne area you will see window replacement, you will see roof replacement and then you will see the normal things like kitchen replacements or kitchen update and that updates, but in a code driven area the structural part usually trumps the aesthetic part on the inside.
Jonathan Sacks – Stonehill Capital: When you say WinGuard sales are driven by code and insurance, if it’s an existing house, that means they didn’t have it before. So, what's prompting someone to replace the windows to bring them up that new code, one of the other factors?
Rodney Hershberger: Yeah, number of things. If you are in particularly depending on who you are insured with, and depending on the value of your house. In order to keep that insurance, you might have to - have it upgraded, you might have that impact protection in place. There are insurance companies that require that and it’s a sliding scale from the first of 2009 through the first of 2010. So, it may be driven where you want to be insured you have to put impact protection in place. Because in almost every code driven area, the code says if you replace 25% of your windows, you have to upgrade all your windows to impact resistance. So, whether that's driven by energy or structural load or impact, the code is going to drive that additional window replacement in those types of markets. So, when I talked about code in insurance driving it, those insurance rebates are having impact protection in place. There is insurance requirement having impacted protection in place. And there is code for 25% of your windows being replaced to drive the change.
Jonathan Sacks – Stonehill Capital: Thank you so much. I appreciate it. It's very helpful.
Rodney Hershberger: You're welcome.
Jeffrey Jackson: Thanks Jonathan.
Operator: And we have no further questions. I'll turn the call back over to Mr. Jackson for any additional remarks.
Jeffrey Jackson: Thank you for joining us today. We look forward to speaking with you again next quarter. If you have any further questions, please feel free to call me. Thank you. Have a good day.